Operator: Good morning and welcome to the Innodata’s First Quarter 2016 Earnings Call. Today’s conference is being recorded. At this time, I would like to turn the call over to Amy Agress. Please go ahead, Ma'am.
Amy Agress: Thank you, Abeny [ph]. Good morning, everyone. Thank you for joining us today. Our speakers today are Jack Abuhoff, Chairman and CEO of Innodata; and O'Neil Nalavadi, our CFO. We’ll hear from O'Neil first, who will provide a detailed review of our results for the first quarter and then Jack will follow with additional perspective about the business. We’ll then take your questions. First, let me qualify the Forward-Looking Statements that are made during the call. These statements are based largely on our current expectations and are subject to a number of risks and uncertainties, including without limitation that contracts may be terminated by clients; projective or committed volumes of work may not materialize; our Innodata Advanced Data Solutions segment, IADS, is a venture with minimal revenues that has incurred losses since inception and has recorded impairment charges for all of its fixed assets. We currently intend to continue to invest in IADS; the primarily at-will nature of our contracts with our Contract Services clients and the ability of these clients to reduce, delay or cancel projects; continuing Content Services segment revenue concentration in a limited number of clients; inability to replace projects that are completed, cancelled or reduced; depressed market conditions; changes in external market factors; the ability and willingness of our clients and prospective clients to execute business plans which could rise to requirements for our services; difficulty in integrating and deriving synergies from acquisitions, joint venture and strategic investments; potential undiscovered liabilities of companies that we may acquire; changes in our business or growth strategy; the emergence of new or growing competitors; various other competitive and technological factors; and other risks and uncertainties indicated from time-to-time in our filings with the Securities and Exchange Commission. We undertake no obligation to update forward-looking information, and actual results could differ materially. Thank you. I will now turn the call over to O'Neil.
O'Neil Nalavadi: Thank you, Amy. Good morning, everyone. Thank you for joining us today to review our financial results for the first quarter 2016. In today’s discussions, I will review our performance on a sequential quarter over quarter basis. Total revenue in the first quarter increased to $15.7 million from $15.5 million in the last quarter. This increase was driven by IADS business which reported a $200,000 sequential increase in revenues to $900,000 as the flow of work from previously reported new customers ramped up. In content services revenues were flat this quarter at approximately $13.65 million. In our Media Intelligence business, revenues were consistent at $1,150,000 in both quarters after absorbing a further 6% increase in the value of U.S. dollar against Canadian dollar. We added 10 new customers this quarter in the Media Intelligence segment compared to eight last quarters; however nine of our existing customers did not renew their contracts. A few of these non-renewals were in the Canadian government sectors who are facing budgetary cuts. As a result of this drop in customer renewals the number of customers increased marginally to 126 at the end of Q1. On a consolidated basis, gross margins were consistent at 27% of revenues or approximately $4.2 million. At the segment level, gross margin in our content services business was also consistent at $4.2 million or 31% of revenues. In IADS, higher revenues helped to lower the gross margin deficit to $300,000 this quarter from $500,000 in the previous quarter. And in our Media Intelligence business, gross margins were $300,000 or 30% of revenues this quarter compared to $500,000 or 44% of revenues in Q4. Gross margins declined this quarter primarily due to timing differences on certain content cost and foreign currency losses [ph] on accounts receivables caused by U.S. dollar appreciation against the Canadian dollar. These gross margins are after deducting acquisition related amortization expenses of $150,000 in both the quarters. So excluding these non-cash expenses, gross margins in Media Intelligence were approximately 42% in Q1 and 57% in the previous quarter. If we were to further exclude the foreign currency translation losses, the gross margins in Media Intelligence segments would have been 54% this quarter. Building down to expenses, selling, general and administrative expenses declined to $3.8 million or 24% of revenues this quarter compared to $4.4 million or 29% in the previous quarter. This relative decline is mainly because last quarter’s expenses included seasonal expenses of $250,000 and a onetime stock options expense of $250,000. As these expenses are primarily accounted for in conference services segment, the first quarter SG&A expenses in this segment were also correspondingly lower by approximately $600,000 at $2.6 million. In IADS, the SG&A expenses were consistent at $400,000 in both the quarters and they were lower by $50,000 in Media Intelligence business at $800,000. Moving down to pre-tax earnings. Our pre-tax earnings were $400,000 this quarter compare to a pretax loss of $300,000 in the previous quarter. Higher gross margins of $100,000 and lower SG&A expenses of $600,000 resulted in a $700,000 improvement in pretax earnings. Let me now review our adjusted EBITDA. Our adjusted EBITDA increased from $900,000 in the last quarter to $1,350,000 in the current quarter. This was the net result of $2.4 million adjusted EBITDA in content services offset by a $700,000 loss in IADS and a $350,000 loss in our Media Intelligence segment. The adjusted EBITDA loss in Media Intelligence business includes foreign currency translation losses of $130,000 that I discussed earlier. Moving over to net earnings. Income tax and profits earned by offshore subsidiaries was $500,000 this quarter compared to $450,000 last quarter. After deducting tax expenses and minority interest our net earnings were at breakeven this quarter compared to a net loss of $600,000 in the previous quarter. I will now review our balance sheet and cash flows. Our cash and investment balances increased by approximately $500,000 to $25.4 million at the end of Q1. We generated cash from operations of $700,000 this quarter compared to $400,000 last quarter. We had approximately $3.2 million cash in the U.S. and the rest was held overseas. To sustain our U.S. cash balances, we deferred cash transfers of approximately $2 million to our operating subsidiaries this quarter which resulted in a proportionate U.S. deal dividend income of $500,000 for tax purposes. Our capital expenditures this quarter were $150,000 compared to $200,000 in the previous quarter. Looking ahead, we expect CapEx to be in the range of $400,000 to $500,000 in Q2, 2016. I will now turn to our foreign exchange hedging program and other items. At the end of the first quarter, we had $19.3 million in outstanding forward contracts to hedge our overseas exposure for both expenses and revenues. In Q1, the U.S. dollar moved in a narrow range against the Philippine peso, the Indian rupee and the euro, but it appreciated 6% against the Canadian dollar. Based on mark-to-market our forward contract made notional gains of $300,000. As some of you may be aware we filed our 10-Q yesterday. In the filing we mentioned that our audit committee is investigating potentially improper payments that were made by employees in one of our foreign subsidiaries. We decided to voluntary self report our internal investigations in our SEC filings and from what we know the amounts in question are not material to our financial conditions or results. Let me now review our guidance for Q2, 2016. We expect revenues to be in the range of $14.9 million to $15.5. The segment wise breakdown is content services in the range of $12.7 million to $13 million, IADS between $1 million and $1.2 million and Media Intelligence between $1,150,000 and $1,250,000. Thank you and now I’ll pass the call over to Jack.
Jack Abuhoff: Thank you, O'Neill. Good morning, everyone and thank you for joining us today. So O'Neill has just provided a detailed financial review of the quarter as well as our revenue outlook for Q2. I will now provide some additional insight into the business of each of our reporting segments, and talk a little bit about what we're looking to accomplish in 2016. I will start with our Content Services segments. As O'Neill mentioned, revenue in the Content Services segment was $13.6 million which was about $0.5 million higher from the top end of the guidance we provided in our last earnings release. By having exceeded guidance by this much, resulted from higher than forecasted requirements from several customers and highlights are difficult that can beat a forecast revenues from quarter to quarter in our content services business. As we have continued to discuss, it is this inherent challenge that we are seeking to address strategically with the new businesses in which we are investing. One of our new businesses is MediaMiser, a subscription based revenues with a track record of high customer renewals and another of our new businesses Synodex is expected to have revenue that is largely recurring in nature. These new businesses have the inherent characteristics that make it possible to strive for consistent growth and accurate forecasting. Our plan is that these new businesses as they grow start to balance out the less predictable project based revenue from content services. But staying with content services for a moment, there are several important strategies we are working on and I want to talk about those. First, we are rolling out a new client partner organization that will operate separately from our sales team. Up until now, our sales people doubled as both sales executives and account managers. The result was that they often did not have the time or the skills required to do both of these things well. By separating these roles we will ensure that client partners on the one hand have the right skills to oversee our current engagements and to firm accounts for new opportunities but at the same time ensuring that our sales teams has the skills, time and resources to target new accounts and to align to new markets in which our services may be valid. I am very pleased to announce that Lisa Indovino has joined the Company as Senior Vice President in charge of our Content Services segment which by the way we will be renaming Digital Data Solutions as of next quarter reflecting our intent to broaden our strategy from serving primarily online publishers and information providers to serving enterprise digital data customers as one. Lisa will lead both the new client partner organization and the sales organization by overseeing business execution and contributing to our evolving strategy. Lisa has a long and successful track record. Most recently she headed global strategic alliances at KPMG where she was accountable for growing Kim’s business in data and analytics, digital transformation and cloud. Her job at KPMG included conceptualizing and implementing go-to-market strategies for these service lines and for meeting and exceeding revenue goals. In the past several years, Lisa exceeded her revenue plans by an average of 20% per year. Prior to KPMG, Lisa held senior positions in sales and marketing as well as strategy and business developments in both large and small companies including a McGrath Hill Information Company, Mercedes Benz and [Indiscernible]. In conjunction with getting our new client partner organization off the ground, another important strategy we are working on is accelerating development of new technologies for automated digital data processing, something that is high in our client’s agenda. With respect to our sales team, whose job it will be to bring in net new clients, we will be expanding the marketing in lead generation capabilities we built in [Indiscernible] last year that have contributed to minimize this growth in order to ensure that our content services sales organization is [Indiscernible]. This year, we will be continuing to focus on executing the program we announced last year with large European Information Services Company to which we are providing end to end operation services. While last year we absorbed about $1 million of [Indiscernible] losses in this program this year we are targeting $800,000 of positive EBITDA margin and revenue to increase from $2.6 million in 2015 to a forecasted $4.9 million in 2016. I’ll now shift to a newer segment IADS or Innodata Advanced Data Services and Media Intelligence. These are both strategic businesses in which we have been investing in order to drive new sources of high quality recurring revenue and thereby overtime reduce the revenue swings that have historically categorized our business as project start and finish. On the IADS front that start with Synodex our digital data product that improves both the efficiency and accuracy of life insurance underwriting by applying digital technologies to healthcare information. We exited the year with eight Synodex clients including industry leaders such as John Hancock and RGA and in the fourth quarter of last year we brought in a new client, one of the largest life insurance center riders in the U.S. In the first quarter, we released our Synodex 4.0 product and have demonstrated it to five of the 17 client prospects who had expressed significant interest in it and have in some cases contributed to its vision. We sponsor [ph] [Indiscernible] favorable and we have defined next steps with each of these prospects. We have two new customers that we expect to start working with in the second quarter and we expect them to generate revenues of approximately $430,000 per year when rent up. We are also close to finalizing agreements with two other new potential customers and we are in active discussions with two existing customers regarding significant expansions of our services. Looking ahead we will be continuing to arrange demonstrations of Synodex 4.0 with other prospective clients. This month we have two additional meeting scheduled and we are scheduling others for next month. On the docGenix products side, we have engaged a firm to work with us taking our new docGenix analytics product to market. The firm consists of freezing your executives who have impressive track records in marketing and selling financial data products and related services. I am expecting that we will make a formal announcement about this alliance sometime this quarter. I will now turn to our media intelligence solution segment which incorporates our MediaMiser and Bulldog Reporter Products. On a quarter-over-quarter basis comparing this year to last, we grew our Media Intelligence Solutions by 3% on a constant currency basis. We added 10 new customer in the quarter and grew by 6% quarter-over-quarter again measured on a constant currency basis. However, nine non-renewals in the quarter offset our additions, so our total customer increased from 125 last quarters to 126 customers this quarter. As you may know the Canadian dollar has depreciated significantly compared to the U.S. dollar. Last quarter, it dropped in value 6% which is why our quarter-to-quarter revenue was flat at approximately $1.15 million despite the underlying growth. Increasingly, our marketing efforts are targeting the U.S. market which will mean that the depreciation in the Canadian currency rather than working against us, the search worked for us wins in the U.S. market will bring U.S. dollars a good thing, while our cost of goods sold will continue to be incurred largely in Canadian dollars which will also be a good thing. Our Media Intelligence Products continue to be well received in the market standing up well in head to head face-offs with even our largest competitors. This quarter most notable customer wins included a major American bank and a global fast food chain. We are also continuing to increase our brand awareness which helped support our sales efforts. Like last quarter, MediaMiser’s Media Intelligence data was referenced in several influential publications including the financial times and we will continue to invest in brand awareness in the U.S. market place. Looking at the company overall this quarter, EBITDA from content services was $2.4 million which is after giving effective $300,000 of gestational costs in our European end-to-end publishing operations. The positive EBITDA from content services was offset by close to $1 million of EBITDA losses in our new businesses. Our goal is to shrink these losses in each of the new businesses and in our European end-to-end publishing operations over the course of the year so that these businesses in the aggregate are break even in Q4. I will now open the line for questions after which I’ll wrap up with some final comments. Operator, we are now ready for questions.
Operator: Thank you [Operator Instructions] And our first question comes from Tim Clarkson with Van Clemens and Company. Please go ahead.
Tim Clarkson: Hey good results. Wanted to ask about I know you are working closely with two new customers on a roll out of the new product in the life insurance piece. How’s that going, and what are the new benefits that they are getting from this particular version?
Jack Abuhoff: Hey Tim, great question. Yes, you know the new version is being received very, very well which you know is not a big surprise to us because you know we are viewing this product as our customer’s product and we are doing the things that they have told us they want to see done, so you know we’ve been asking them what they needed to do, what they wanted to do and that becomes our roadmap for product innovation. So we’re basically bringing to them what they have you know the order they have placed, and it’s being received very, very well. It enables them to do several things that they weren’t able to do with less products. I won’t get into the technical details right now because I think we’ll probably lose half the people on the call, but you know what it ends up doing is aligning much more closely to the way underwriters work and the business benefit of that is it creates both better efficiency. The efficiency metrics that companies can expect are now even higher than they were number one, number two, it helps create benefits in terms of mortality and what life insurance companies ultimately need to do. And the underwriting departments ensure that they are pricing product the right way. And this version enables them to do that, we believe in a -- in yet the stronger way. So we are very pleased with this so far.
Tim Clarkson: Now if you brought that version to initially customers that you had before?
Jack Abuhoff: We will be doing that as well. You know the idea here of course is that we continue to innovate for our existing customers as well, so new customers have sold them.
Tim Clarkson: Now you mentioned before that you thought you had you know just based on your initially customers about a $1.6 million of quarterly revenues once that they were you know fully flushed out, is that number still above what you think or is it gone up or what’s your thinking on that?
Jack Abuhoff: So there is one client in there that we had in for about $1 million and there is kind of slow locking implementation, we’ll see how that goes over the next few months, but you know other than that one client everything is on track.
Tim Clarkson: Okay, all right. And could you just give a little bit more background, I know you got a new hire in the content services, and talk a little bit about that ladies background and how long she’s been there and how she is -- what she’s doing now?
Jack Abuhoff: Sure. Well she’s been with us only for a matter of weeks and she’s been busy few weeks. She’s been to India, she’s been to Philippines, she has met with a bunch of customers and right now getting labeled in. She brings with her a lot of experience and a great track record. You know as I mentioned prepared remarks. She had really driven Kim’s strategic alliances strategy and you know held a number, revenue producing number with that group that she systematically exceeded for the number of years running. She is very excited by what she sees here. And you know she sees like I do that with a few changes in configuration and a little bit of adjustments here and there, there are things that we can do to quite likely position ourselves for a much broader opportunity. You know we are becoming fond of looking at the way the market is talking about data. For example, Microsoft is talking about how data is the new electricity and that data is going to power kind of a fourth grade industrial revolution and we are seeing that a lot of different businesses were engaging even now with a few enterprises who were coming to us and they are saying you know we need to be our own information company and we need to use data in new ways to create new insight into our businesses and to enable us to spot opportunity better. And you know we think there is an opportunity in that new fourth industrial revolution for Innodata. So, you know that’s what she is excited about, I share that enthusiasm with her and we are going to be making various change including what we are talking about today by creating the separate client partner organization from sales organization and building out a marketing and product marketing organization into that. You know we are going to be doing things to position ourselves strategically to align to those new opportunities.
Tim Clarkson: Okay. Great. I’m done, thanks.
Jack Abuhoff: Thank you.
Operator: And we’ll move next to Mark Jordan with Noble Financial. Please go ahead.
Ben Klieve: Hi, this is actually Ben Klieve at Noble Financial on in for Mark right now. I just have a couple of quick questions regarding your commentary on the Canadian customers and then the Canadian revenue breakdown in the [Indiscernible] here. I’m wondering first of all how confident you are in your ability retaining the remaining Canadian customers or do you think that the customers you have blocked are facing the same budgetary issues maybe just haven’t made moves yet? And second of all, the clients that you have lost do you think the Canadian dollar and the Canadian budget maybe stabilizing, but is there any likelihood that you could see yourself re-establishing those relationships?
Jack Abuhoff: You know I think we have no reason to believe that you know we are expecting great new intersections among the Canadian clients base I think, you know if you look at our track record over the long term or even medium term client retention has been very, very high. And you know we are predicting that it will continue to be high. That said, you know there are probably less than 10% of the customers that do not renew and you know we need to replace those revenues. Occasionally in the quarter you see you know some of those non-renewals kind of group off which is what I think we saw here. But right now I would not read anymore into it than that.
Ben Klieve: Okay. Thanks a lot guys.
Jack Abuhoff: Thank you.
Operator: And our next question will come from Charlie Pine with Van Clemens & Company. Please go ahead.
Charlie Pine: Hi, good morning. I have a couple of questions. The first one I think would be directed toward O'Neil. O'Neil, now let me -- clarify something to me. You talked about in the release about the impact of the appreciation, 6% appreciation of the U.S. dollar versus the Canadian dollar. Its’ actually my understanding that it’s just the opposite in the first quarter. The Canadian dollar appreciated roughly 7% from the end of December through the end of March versus U.S. dollar.
O'Neil Nalavadi: Hi, Charlie, that’s a good question actually. Here’s what really happens. The accounting takes place on the basis of average rates during the quarter, so these revenue translation takes place using those average rate. And based on the average rates that we had, we had 1.31 conversion rates in Q4 and 1.39 in Q1. The way you maybe looking at is just the end of the quarter to end of the quarter, that's not the way it works for revenue accounting, so that's the reason why you a difference between the way the revenue accounting takes place the way you look at it.
Charlie Pine: Okay. I think, I'm still not quite catching those, because the bottom for the Canadian dollars accrued around the 18th or 19th of January and since then it’s been on a rocket from about a low of around $0.72 to the U.S. dollar to last week before the fires in Alberta, it was up to $0.82, and now it’s currently around $0.77. So for most of the quarter there was a net gain, a significant net gain in the [Indiscernible] versus U.S. dollars. So, I'm just still confused that this how – where you showing a 6% appreciation the dollar versus the [Indiscernible]
Jack Abuhoff: Okay. I think we discuss this offline, but like I said the way the accounting rules work is we have take the same source that we use from a consistency perspective and we use the average rates for the month and that gets average lot again for the quarter and that's the reason why you see a difference between the way you look at data points on the way we use for conversion rates. But I'm happy to off the line just to take you through the way the revenue accounting and conversions take place.
Charlie Pine: All right. Well, to be continued kind of guess on that topic, to circle back on something I didn't hear clearly on couple of the new Synodex customers that you were looking for I guess in 2016 I think that you said that you are adding on. What was the average per customer, did I hear 450,000 or 430,000 per customer. I just don't think I heard it properly?
Jack Abuhoff: Sure. This is Jack. The two new customers that we're looking to bring on in second quarter total that number 430 per year.
Charlie Pine: Okay, 430, okay. 430 per year per customer.
Jack Abuhoff: 430 per year for the two customers combined that we signed on that are coming online predicted this quarter.
O'Neil Nalavadi: And I think Charlie keep in mind that the business is still in the formative phases so it maybe, it may not be right to take an average right away. Some accounts will be larger, some accounts will lower, but the potential within each account exist as they decide to do more using the Synodex products.
Jack Abuhoff: But it’s -- to look at as we go along.
Charlie Pine: Okay. Just on first year and that sounds like those are little lighter revenues figures than some of your current customers on a yearly run rate, is that correct?
Jack Abuhoff: Yes, that is. So, I think we're looking at two things there is the – what they sign on for initially manage there, move there, so these two customers are smaller companies and I think that there is some growth that's left in each of them, but not as much as others. As you compared that though to the large new customer that we brought late in fourth quarter, there they are sticking their toe in the water, so the initial booking value whatever we've got for that is very, very small and there is an opportunity to increase that by many, many fold.
Charlie Pine: All right. Also when during Q1 did you actually officially rollout into the export by now?
Jack Abuhoff: We started to demo with – we started testing with the couple of customers and then we really started to have meetings in earnest I guess right about March 15, March 10th round that time.
Charlie Pine: Okay. And I guess final question and I think I got one or two others but I'll get in queue. Going forward right now the mix of customers in MediaMiser, is it still skewed more toward Canadian companies or U.S. and going forward over the next say 12 to 18 months, do you see greater – do you see that you'll be growing or penetrating more in the U.S. market for MediaMiser or more in the Canadian market?
Jack Abuhoff: Yes. It's much more skewed toward Canadian customers at this point. I don't if we have a metric on that is available, U.S. versus Canadian. Maybe O'Neil will look at that up while I continue answering question. I think prospectively we're going to be focusing our marketing strategy on U.S. market. That said, we've got a very well establish reputation in the Canadian market, so I'm expecting that our efforts of bringing new customers in Canada will continue, but the marketing efforts for the most part are going to be directed and further penetrating the U.S. market.
Charlie Pine: Are there any significant hurdles in front of you, do you think preventing you to get – to crawl more and more customer in the United States over say the next year or so?
Jack Abuhoff: No. I don't think there are, you know in terms of content sources which is ultimately, you've have got hundred of content sources lined up in this business. We've done a good job there and we've got some good referenceable accounts. We've go several accounts who are great stand-up references for us in the U.S. We use those when we're talking to other folks in the U.S. So, we've got the content source lined up. We've got the referenceable accounts and we're increasing the marketing and sales in the U.S. so I think we're well-positioned at this point.
Charlie Pine: Let me speak one last one in. They don't forget. I can't either – you call it was you Jack or O'Neil, you reference that CapEx is going to expand again in Q2, it something like you did, 150K in Q1 and then you're looking at between 400,000 to 500,000 in Q2. What's the component of that's constituting that increase again in CapEx?
O'Neil Nalavadi: So, Charlie as you are kind of familiar with the business, some of the server forms at the storage they come up in cycles at the end of a certain lifecycles. So this year we will be replacing a lot of the storage that has come for replacement during the course of the year and some of the desktops also have to be replace as they come to the end of their lifecycle of about five years or so. So that's the reason why the CapEx is higher in Q2 and we probably will expect that CapEx will be higher in Q3 as well. But those are the main reasons why the CapEx is higher. And they are all primarily in content service business.
Charlie Pine: Okay. All right. Thank you.
O'Neil Nalavadi: Thank you.
Operator: [Operator Instructions] We'll move next to George Melas with MKH Management.
George Melas: Hi, Jack [ph]. Good morning. Jack you mentioned that the goal was to get I think IDAS and MediaMiser to breakeven EBITDA by the end of the year. Can you sort of tell us what are the hurdles to get there? What you need to do to basically complete this goal?
Jack Abuhoff: Sure. So if you take just kind of Synodex business, we're looking to get the quarterly revenue to probably about $1.6 million in a quarter. And then, of course we'll looking at efficiency and costs as well, but we're kind of just going to work to revenue side, that's probably where we need to get you to statement breakeven.
George Melas: Okay. And based on your current customers you see getting there or does that imply, I think you're talking – you're saying that you're talking to two customers, two existing customers that could add meaningful revenue. What it would take to get to 1.6 in your view?
Jack Abuhoff: George, I think we definitely have the relationships in hand to get there and beyond that. Now it’s a question of kind of knocking down the hurdles that stand in the way of you know telling us to go, get it done and that's where we're working on. And then, you'll probably ask one of the hurdles? They tend to vary. So there are couple of companies where you know what we need to do unfortunately is wait for them to catch up. We've got small one and even one very big company where both said they want to come on line and be start using the service, but they're standing in line to get internal IT services from their IT department that is stretch. So in those situations there's nothing that we can do. On the other hand, there are some customers who have said, we really like what we're getting so far and we want to significantly expand, but here's what we need you to do. We need little bit more on this, little bit more on that. We'd like to be able to look at data in this other dimension whatever that maybe, that's within our control and we're working hard at knocking down those – put those requirements.
George Melas: Okay. That's helpful. Thank you, Jack. And then on the MediaMiser what kind of revenue do you need to get to breakeven and how you can achieve that?
Jack Abuhoff: I think with MediaMiser we're on our way there to, O'Neil do you have breakeven number.
O'Neil Nalavadi: Sure. George, the way the MediaMiser model works is approximately 60% of the revenues flow down to the bottom line on a marginal contribution basis. So, we are currently at about 1.2 million, so another 300,000 of revenues will take us to the breakeven point. And the way you may like to look at the sales and marketing is because there is no revenue concentration with any single customer. It is really a lot of marketing lead and lead gen, lead sales. And the early indicator for us that is the pipeline and how many demos we are doing which are all tracking pretty well. And the team feels confident that they should be able to achieve that breakeven by Q4 of 2016.
George Melas: Okay, great. And then just a question on content services. This quarter your margins are really strong. Is that sustainable, I mean, they are almost 20%. Is that sustainable or there are some kind of exceptional factors this quarter?
Jack Abuhoff: Our focus is and if we look at the business over time, we know that the cash flow is very well and there is a lot of incremental marginal contributions in that business model as well. So, leases going to be very much focused on building the business and expanding the business. We've also done a lot of work on the efficiency side, so you compare like the end of last year to the beginning of last year we were able to squeeze out lot of additional revenue without having to increase headcount. So we're working hard on the technology side and they are running efficiently there. So I think if we continue to maintain that focus, continue to innovate on the technology side and at the same time do things necessary to position the business for more growth and I think we can look forward to those good revenue dynamics.
George Melas: Okay. And just for clarification purposes. In this quarter the EBITDA was 2.4, I think you said that included 300,000 in expenses or maybe in losses relating to that large European publisher. I didn't quite understand?
Jack Abuhoff: That's right. So, we're continuing to invest in that new opportunity. We actually think some additional opportunity there. So, I think that again by the end of this year, it's our target to have that and these other businesses up together breakeven. And in this quarter indeed we have $300,000 of negative margin of negative gross margin in some of those new businesses for the European program.
George Melas: Okay. Just by the end of the year is the idea to have the European publisher IDAS and MediaMiser combined together being breakeven. Is that what you meaning? Or that's being breakeven.
Jack Abuhoff: We're going to manage each book, what I do is I look at that as portfolio if you will think that right now are still in invest mode. We're going to manage them all to be successful, but I think from a financial modeling perspective we're going to pay a lot of close attention to each one. I think in the aggregate they all contributing to losses, so we're going to look to manage that to breakeven.
George Melas: Okay. And just to be little bit more granular about the IDAS is that the European publisher would actually contribute and makeup for some of the losses, maybe some of the continuing losses in IADS and MediaMiser?
Jack Abuhoff: That's right. MediaMiser or the kind of business could makeup for some losses there. I think there's a lot of still dynamic for example in the European program where last quarter we saw – began discussions on yet some additional opportunity that we hadn't scoped into the program. If indeed opportunity becomes something that we're able to action with the customer it may require some additional investments in that yet new and familiar [ph] opportunity. We've got to be flexible enough to absorb that.
George Melas: Okay, okay.
Jack Abuhoff: One way or another we're going to look to kind of get these losses solve by the end of the year.
George Melas: Great. And then just a final question, eBooks did you guy say, how much eBooks was in the quarter and can you speak briefly to the customer cost penetration in the quarter?
O'Neil Nalavadi: George, eBooks was about 15% and it's been consistent at that level for the last couple of quarters.
George Melas: 15% of total or just content services of total.
O'Neil Nalavadi: 15% of total revenues.
George Melas: Total revenues, okay. And in terms of your Top 3 customers just some concentration metrics?
O'Neil Nalavadi: Again, that has been consistent as a percentage of total revenues, this been about 43%, 44%.
George Melas: Okay. Very good. Thank you very much.
O'Neil Nalavadi: Thank you.
Operator: And we'll move next to Edward Fowler with NBS Securities.
Edward Fowler: Good morning, Jack and O'Neil how are you?
O'Neil Nalavadi: Hi, Ed, good morning.
Edward Fowler: Well, finally see a profit there? Getting back to that German publisher, did I understand that you're on-track to do about $4.9 million with them?
Jack Abuhoff: Soon after we're targeting to end the year within terms of revenue compared to about $2.5 million last year. And just to clarify it's not a German publisher. It’s a European publisher that's been several countries.
Edward Fowler: Okay. Were they a client of yours before they switch to this new? Were you're doing work for them?
Jack Abuhoff: They were.
Edward Fowler: They were. So that business goes away?
Jack Abuhoff: Sorry.
Edward Fowler: That business stays the same or how is it – how does it go?
Jack Abuhoff: Oh, no, that business stays the same. So this program was incremental to business that we done previously. I guess maybe, let me clarify that, we've been working with them for several year now we started working with them in one country. They like what we're able to accomplish there and then as they started centralized their operations they look to us to work with them in order to accomplish the same kinds of efficiencies across the continent basically.
Edward Fowler: By the end of the year you expect to be it like $4.9 million with them?
Jack Abuhoff: That's right.
Edward Fowler: That's a significant change. Get into docGenix analytics. This product has already developed, your work down years ago, but where do you see that going, is that going post loss in the initial year or you able to keep good margins there and I think I read you had a German -- European bank and are any other banks are coming on for this product?
Jack Abuhoff: So, we have the European win that happen late in the last year fourth quarter and we're just now kicking that off and we haven't started services under that new contract yet, but that will be -- we signed I think just yesterday, actually we're going to be kicking that off in the next couple of weeks. Beyond that we've got a few other clients in the mix, but one of the obstacles that we faced is as a company we've been pretty much focused over the last decade information services companies and publishers and digital retailers haven't had that much exposure in financial services. So, one of the things that we've done is we explore it and alliance strategy there where we would be working with other folks who have relationships in that sector who would be able to take the product to market. And as I mentioned we signed an alliance with one such organization, who is very, very excited about taking that product to market for us. And we're also exploring couple of other alliances that could be potentially broader scope from that. So too early to really put a number on that or to project what that's going to -- what would be achievable there. But I think that with these alliances in place probably the most significant obstacle to our success there will arguably be removed.
Edward Fowler: It seems that the derivatives markets are pretty big market and keeping track of it seems to be a congressional desire right now?
Jack Abuhoff: No. And I think that's one of the big drivers for potential interest on the product, the regulatory frameworks that have been place to manage over the [Indiscernible] risk is and the compliance there is a real big problem for lot of people, so we believe probably more importantly the alliances that we're putting in place where the alliance partners believe that our capabilities can play an important role in a clients overall regulatory response.
Edward Fowler: I just had two other quick questions, relative to I mean, seems like the John Hancock and the Reinsurance Group Of America were your first two insurance companies, where do you see the volume go -- what are doing now and where do you see the volume going?
Jack Abuhoff: We don't want to be in a -- you know we have NDAs with all these companies and with two as you aware they did press releases about their relationship with us.
Edward Fowler: Right.
Jack Abuhoff: And that was wonderful. But we don't think that we're able to or that we'll even be possible to talk about any one relationship in great detail. I think suffices to say that there were very strong relationships and we are continuing to cultivate those. We see opportunities to work together with both of them in lots of strategic and interesting ways.
Edward Fowler: But they are coming on line and coming in quarter to quarter, right?
Jack Abuhoff: Yes, absolutely.
Edward Fowler: Okay. You seem to have reading the footnotes here and there. You seem to have a little problem over in India and Philippines, so these taxing authorities they seem to go back and should shareholders expect any surprises from any of this stuff they keep coming back at you?
Jack Abuhoff: I think the environment can be challenging, but when I look at what we're doing there and how we're managing it, I think we're doing a pretty good job relative to some of the tax issues that we faced and the challenges there. Like we've said in our disclosure, we think we're on real solid ground, but you have push severe and you have to fight your battles and kind of stay your ground and ultimately prevail. So our track records been there, I think we've got a – I think we're doing right thing.
Edward Fowler: And final question with regard to the APS Extract, when you're dealing with insurance companies, do you have to realign that APS Extract product and with each company or is it – I want to use work automate but is there way to go into a new company and handle the same product you gave another company?
Jack Abuhoff: The product is largely the same one company from the other, so you'd look at it, you would say that's 95% the same, or 99% the same. But in that it's speaking [Indiscernible] not assigning real numbers to. But in that small percentage difference it makes the word difference to them. So for their purpose then there are two pieces to it, the data that we're – our data dictionary has to be precisely aligned to their underwriting requirements and there's no room for things to be add of alignment. So that small gap requires very careful work and good sharing with them to take place. And then the other side is they use the digital data that we've provide to create reports and some of the reports use for actual reasons, some reports are used for underwriting, and then there is some effort in customizing that reporting so that it fits well within their workflow in this business. So that takes some work.
Edward Fowler: I think what I'm driving at Jack is you know you have these big names, John Hancock and Reinsurance, how do we get a handle on the potential volume with these companies?
Jack Abuhoff: Well, I think from a market perspective when we market size we look at the total market within life insurance, I mean, of course we drilled out and look at what the opportunity is to with any one company how much of that total market they represent. And I think our believe is that the market within life insurance there in total these companies are using about 4 million medical records per year in life underwriting, beyond that we think there's probably another maybe 4 million records per year used in disability underwriting. We intend to start working at disability this year after we've got the 4.0. So you know that's a pretty market, that's well over $100 million of revenue potential for us on the life side alone and that's what we're executing against.
Edward Fowler: Maybe O'Neil can answer this question for me, Jack. I think we've read somewhere recently, I think one I'd like to address your first page in the annual report relative to the stock price and the other I want to get it just a general idea what – I got the feeling that your U.S. operations had to pay a tax on a dividend that occurred but you use your tax losses to offset that, O'Neil
O'Neil Nalavadi: Yes. Here is what we did. We continuously watch our U.S. cash balances and offshore cash balances and as you know most of our cash is overseas.
Edward Fowler: Right.
O'Neil Nalavadi: So to maintain and sustain certain level cash in the U.S. We deferred the payments to our international subsidiaries because they got enough cash available with them. When you differ the cash payments it results in a deemed dividend income for the U.S. entity under the IRS regulations which is nothing but effectively the same thing as remitting money from overseas to the U.S. so, when it results in a U.S. entity income you don't have to pay tax on it or you can fitted up against the carried forward losses or current year losses for the U.S.
Edward Fowler: I got that clear. And Jack, you spent quite a bit of the annual report in your talk there about the stock price, I happen to agree with you but it seems like the market just doesn’t want to buy to add anymore than it’s selling at now. You have any further comments on them?
Jack Abuhoff: Well you know what I tried to do in the letter is to lay out the case. We think we are doing the right things within the business, why we are -- and you know where we think we are going to be creating value and are creating value. You know unfortunately I guess you know we innovation is not predictable or linear and you know it’s typically not done at this scope under kind of the intense public scrutiny that comes with being a small public company. But I think from you know when I look at it, when I think about it, I think that if we would fear that scrutiny we would be doing amends to service to our investors. Moreover I think that Innodata has the challenge to do great things and I think Innovation is going to be one of the ways that we put that challenge to use and innovation is going to be one of the ways that we break the up down cycle of the project based business. So…
Edward Fowler: Jack [Indiscernible] if the stock price were to go up -- go up to gain cash in the U.S. would you -- is that registration still there and would you end up, let’s say the stock went to five or something, would you sell more shares in a secondary.
Jack Abuhoff: Well we do indeed have the registration place, we are maintaining that and you know I think we would be open to looking at different possibilities when that occurs.
Edward Fowler: But we should anticipate that.
Jack Abuhoff: Yes, I think if we are getting at a little ahead of ourselves, we are going to commit to that at $5 or any specific number. You know I think it’s important to us to maintain the shop registration I think we’ve got good strategic sense of what kinds of businesses would be interesting to add onto our business and further into our strategy. We are continuing to monitor that and to work on things; I think that the shop registration and our stock at the focal point of time will be a powerful way of furthering our strategy. Right now the most important thing to do is to achieve the goals that we have set out for ourselves this year to continue to know down the clients in the Synodex pipelines, to continue to please the clients that we are pleasing today, to do the things necessary to align our content services strategy to a broader digital data opportunity that is forming up in the market. And I truly do believe that the stock price will fall and I think as it falls the opportunity to do things like you are describing will be important weapons in our arsenal.
Edward Fowler: How about debt issued in Europe, can you bring that debt issuance over there and bring the …
Jack Abuhoff: I think you know maybe you and O'Neil need to have a strategy discussion that -- I don’t know what the opportunities are for debt issuances in Europe, but that’s amazing that could be an opportunity for us and if O'Neil isn’t currently thinking about it, then I know he will be anxious to hear your views on that.
O'Neil Nalavadi: Ed, I think we can talk offline on these things, but right now if you just look at the shelf registration as an empowering mechanism, should there be a need to really raise funds, will raise funds but there is nothing eminent and one should not consider that the triggered point for raising funds with the $5 stock price or anything as such. But we can talk offline on your thoughts.
Operator: And our next question comes from Charlie Pine with Van Clemens & Company.
Charlie Pine: Hello I have just one last follow up. I just wanted some clarity on -- regarding the European publishing project that you are working on, I’m not saying that I’ve heard it right. You said that you will be going for about $2.6 million revenue last year to about $4.9 million at the end of 2016, and I thought I heard during your prepared remarks, did you say that you anticipated to derive roughly $800,000 of EBITDA of that particular project by the end of the year?
O'Neil Nalavadi: That’s correct.
Charlie Pine: All right. Okay, that’s just what I wanted to confirm. Thank you, I’m finished.
O'Neil Nalavadi: Thanks, Charlie.
Operator: And we’ll move next to Tony Cutinelli with CLC Management.
Tony Cutinelli: Hi guys, did your company purchase any stock in the past quarter?
Jack Abuhoff: No we did not purchase any stock in the last quarter.
Tony Cutinelli: I know you addressed the ongoing oil price. I’m just curious why the company isn’t purchasing stock at these prices and I’m a little bit surprised that I haven’t seen any insider purchases at these levels. Is -- did officers and directors currently restrict it?
Jack Abuhoff: Sure, so I guess two answers to that. One is that we have been carefully guarding U.S. cash balances in terms of buybacks. I think that when we were continuing to really look at that and that’s an ongoing topic of discussion at the board level. I think as we start to see some revenue increases and have more cash flowing into the U.S. then that becomes something that is progressing like more interesting. In terms of the second part of the second part of your question, yes, we’ve been in the blackout for a while.
Tony Cutinelli: Okay. Thank you.
Operator: And that concludes today’s question and answer session. I’d like to turn the conference back over to Jack for any additional or closing remarks.
Jack Abuhoff: Thank you, operator. So I guess just quick recap. Again, very pleased to be welcoming Lisa Indovino to our team to help propel our content and services business to the next level. Lisa is really excited about the opportunity to steer our new client partner organization as well as our sales organization and to be helping us put in place strategies to grow our business with companies that are increasingly using and looking to use digital data as a source of competitive advantage. In our Synodex business as I said, you know now with our version 4.0 product in hand we are off to a good start of the year. We are expecting two new clients to begin generating revenue this quarter. We’ve got another two clients that we expect to sign shortly and then we also have two large clients that we are expecting to be expanding services with us. Our goal for 2016 is for as we talked about IADS for MediaMiser and our new European publishing engagements which were all in investment mode in 2015 and loss making to shrink their losses in 2016 and in the aggregate reach break even in Q4. So thank you everyone for joining us on today’s call, appreciate it, appreciate the support and we look forward to sharing with you our progress through 2016. Thank you.
Operator: Ladies and gentlemen today’s conference is available for replay by dialing 719-457-0820 or 888-203-1112, using pass code 4499730. Again the number is 719-457-0820 or 888-203-1112, using pass code is 4499730. That concludes today’s conference. You may now disconnect.